Operator: Good morning. My name is Emily, and I will be your conference operator today. At this time, I would like to welcome everyone to the AGCO Corporation 2017 third quarter earnings release conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Greg Peterson, Director of Investor Relations, you may begin your conference.
Greg Peterson - AGCO Corp.: Thank you, Emily, and good morning. Welcome to those of you joining us for AGCO's third quarter 2017 earnings conference call. We will refer to a slide presentation this morning that we've posted on our website at www.agcocorp.com. We will be using non-GAAP measures, which are reconciled to GAAP measures in that presentation in the Appendix portion of those slides. We will make forward-looking statements this morning, including demand; product development and capital expenditure plans and the timing of those plans; acquisition, expansion and modernization plans; and our expectations with respect to the costs and benefits of those plans and the timing of those benefits. We'll also discuss production levels, share repurchases, and other future revenue price levels, earnings, cash flow, tax rates and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2016, and subsequent Form 10-Qs. These documents discuss important factors that could cause the actual results to differ materially from those contained in our forward-looking statements. We disclaim any obligation to update any forward-looking statements except as required by law. A replay of this call will be available on our corporate website later today. On the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. And with that, Martin, please go ahead.
Martin H. Richenhagen - AGCO Corp.: Thank you, Greg, and good morning. Happy Halloween to everybody. We appreciate everyone joining us on the call today. My comments start on slide 3, where you will find a summary of our third quarter and year-to-date results. AGCO produced solid results in the quarter despite continued challenging market conditions. We delivered sales growth and margin expansion around or across all regions. Our third quarter sales grew by almost 13%, and operating earnings climbed over 60% compared to the third quarter of 2016, driven by a 160 basis point increase in operating margins. AGCO's financial performance also reflects the benefit of our efforts to reduce expenses and improve the efficiency of our factories. Long-term growth continues to be a key focus, and we are working to expand our product offerings through internal product development efforts as well as bolt-on acquisitions. We recently completed two acquisitions which broaden our product portfolio. In September we acquired Precision Planting, a leader in innovative planting technology. And in October we completed the purchase of the forage division of the Dutch Lely Group, which significantly enhances our hay and forage product lines globally. Slide 4 details industry unit retail sales results by region for the first nine months of 2017. The world's expanding population and its appetite for more protein is pressuring global grain supplies. Another strong core production year is enabling the world's farmers to keep pace with this growing demand for grain. Both improved farm technology and very positive growing conditions are contributing to the farmers' productivity improvements. The USDA is estimating global grain inventories will decline only modestly during 2017, maintaining pressure on commodity prices. As shown on this slide, we experienced modestly softer industry equipment demand in Europe and North America in the first nine months of 2017. The farm equipment fleet has begun to age in North America, and industry retail sales have been mixed in the first nine months of 2017. Small tractors are up compared to last year, while sales in the row crop segment remain weak. Full-year industry sales in North America are expected to be down compared to 2016. Industry retail sales in Western Europe have stabilized and are benefiting from improved profitability of the dairy producers. Commodity prices have been holding at low levels and has kept market demand soft in the arable farming segment. Industry sales declined most significantly in France from high levels in the first half of 2016, which were stimulated by tax incentives. Growth in Italy, the United Kingdom, and Spain offset most of the decline in the French market. For the full year of 2017, demand in Western Europe is expected to be relatively flat compared to 2016. Industry retail sales in South America increased during the first nine months of 2017, as demand in Brazil grew strongly from depressed first half levels experienced last year. The Argentine market remained robust, as more supportive government policies continued to stimulate growth. Full-year 2017 industry demand in South America is expected to be up, but fourth quarter industry demand in Brazil is expected to remain challenged. 2017 production schedule for factory production hours is shown on slide 5. Production increased in Europe and South America in response to increased demand in those regions during the first nine months of 2017. We lowered production in North America in the first nine months of 2017 versus last year's level in order to reduce dealer inventories. We expect total company production to be up by about 3% for the full year versus 2016. Globally, our order board for tractors is up at the end of September compared to the end of September last year. Orders were higher in Europe and relatively flat in North and South America. I will now turn the call over to Andy Beck who will provide you more information about our third quarter results. Andy?
Andrew H. Beck - AGCO Corp.: Thank you, Martin, and good morning to everyone. I will start on slide 6, which looks at AGCO's regional net sales performance for the third quarter and first nine months of 2017. AGCO sales increased 10% compared to the third quarter of 2016 excluding the positive impact of currency translation. AGCO benefited from the impact of acquisitions, which increased sales by approximately 2%, as well as achieved growth in all regions in the third quarter of 2017 compared to the third quarter of 2016. The Europe/Middle East segment reported an increase in net sales of approximately 11%, excluding the positive impact of currency translation, compared to the third quarter of 2016. Excluding acquisition-related sales of approximately $25 million, the EME sales were up about 8%. Sales growth was the strongest in France, the United Kingdom, and Scandinavia. North American sales increased approximately 6%, excluding the impact of currency translation during the third quarter 2017 compared to the levels experienced in the third quarter of 2016. Strong growth in mid-range and high horsepower tractors, as well as parts were partially offset by declines in sprayers and combines. AGCO's third quarter 2017 net sales in South America increased approximately 5% compared to the third quarter of 2016. Excluding negative currency translation impacts. Robust demand in Argentina was mostly offset by lower sales in Brazil. Net sales in our Asia/Pacific segment – Asia/Pacific/Africa segment increased about 28% in the third quarter of 2017 compared to 2016, excluding the positive impacts of currency translation. Sales in Australia accounted for much of the increase. Part sales were approximately $357 million for the third quarter of 2017 and were up about 7% compared to the same period in 2016. Excluding the positive impact of currency translation. Slide 7 examines AGCO's sales and margin performance. Our third quarter results were highlighted by improved operating margin performance across all regions compared to the same period of 2016. Higher sales and production and our ongoing efforts targeted at labor productivity and material cost as well as continued focus on SG&A expenses all contributed to the margin improvement. The Europe/Middle East segment reported an increase of about 110 basis points in operating margins from the third quarter of 2016. The benefit of higher sales and production, in addition to our richer sales mix, produced most of the increase. Sales growth and cost reduction initiatives both contributed to approximately 100 basis point of margin expansion in North America in the third quarter of 2017 compared to the same period last year. Operating margins also improved in our South American region in the third quarter of 2017. The benefits of higher sales continue to be offset by material cost inflation and costs associated with transitioning to the new Tier 3 emissions technology. Operating margins in Asia/Pacific/Africa region improved due to strong sales growth. Slide 8 details GSI sales by region and product. GSI sales were up about 20%, excluding currency impacts but including the benefit of acquisitions for the first nine months of 2017 compared to the same period of 2016. Excluding the positive impact of acquisitions, GSI sales were up about 1% on a constant currency basis. Organic growth and sales of protein production equipment is being offset by lower grain and feed equipment sales. GSI sales are expected to reach $1 billion in 2017. Slide 9 looks at the investments through capital expenditures and research and development. We are continuing to make strategic investments to refresh and expand our product lines, upgrade our system capabilities and improve our factory productivity. Despite the challenging demand environment, we intend to increase the level of investment to execute our product development plans resulting in increased CapEx and engineering spend in 2017. Our spending plan in 2017 is needed to maintain our competitiveness and to support the long-term growth of our business. Slide 10 addresses AGCO's free cash flow which represents cash generated or used in operating activities less capital expenditures. Our seasonal requirements for working capital are greater in the first half of the year and thereby resulted in negative free cash flow in the first nine months of both 2016 and 2017. We expect an inventory decrease in South America during the second half of the year as we release a number of new Tier 3 emissions products during the remainder of the year. After covering spending on our strategic investments, we are targeting another strong free cash flow year for 2017. At the end of September 2017, our North America dealer and company inventories for tractors, combines and hay equipment were all lower than a year ago. The dealer month supply on a trailing 12-month basis was lower by about one month for tractors and a month-and-a-half for combines versus a year ago. As we focus on our returns for our shareholders, we expect to make cash distributions an important component of our long-term capital allocation plan. Over the past three years we have executed share repurchases of $1 billion which had the effect of reducing our share count by approximately 20%. We've also approved a $300 million program that expires in December 2019. We are assimilating our recent acquisitions this year, leaving share repurchase capacity in 2018 and 2019. As we demonstrated in the first quarter, we are also committed to responsibly growing our dividend in the coming years. We expect to fund these programs with operating cash flow. Our 2017 outlook for the three major regional markets is captured on slide 12. Our 2017 forecast has decreased modestly for South America. In Brazil, the instability of the macroeconomic environment continues to weigh on farmer sentiment. Further improvement in the Argentina market is expected from 2016 levels as more farmer-friendly government policies and healthy crop production have stimulated demand. Our South America industry forecast assumes industry volume will be lower in the fourth quarter compared to last year, resulting in an increase of approximately 10% to 15% for the full year. In the United States, the USDA estimates that farm income will be down again this year, and we expect 2017 to be another challenging year, with industry sales down approximately 5% to 10% compared to 2016. The large agricultural equipment sector in North America is expected to be the source of the decline. Lastly, we expect the Western European market to be relatively flat, as farm income remains under pressure in 2017. Improving demand from the dairy and livestock sector is expected to be offset by continued weakness from cereal producers. Slide 13 highlights the assumptions underlying our 2017 outlook. Our 2017 forecast assumes industry growth in South America and Asia, partially offset by softer industry demand across North America. Our plan includes market share improvement, with price increases of approximately 1.5% on a consolidated basis. At current exchange rates, we expect currency translation to positively influence sales by approximately 2%. Acquisitions are expected to increase sales by about 2.5%. In 2017, engineering expense is expected to increase about $25 million compared to 2016. Operating margins are expected to improve by about 100 basis points due to the benefit of increased sales and production, our fixed cost reduction efforts, as well as continued progress on our productivity and purchasing initiatives. We are targeting an effective tax rate of approximately 37% for 2017. Slide 14 lists our view of selected 2017 financial goals. We're projecting 2017 sales to be in the $8.2 billion range. We also expect gross and operating margins to be improved from 2016, reflecting higher volumes and the positive impact of our cost reduction efforts. Based on these assumptions, we are targeting 2017 adjusted earnings per share of approximately $3.00 per share. We expect capital expenditures of $200 million to $225 million and free cash flow to range from $225 million to $250 million. And with that, operator, we are ready to take questions.
Operator: And our first question comes from the line of Mike Shlisky from Seaport Global. Your line is open.
Michael David Shlisky - Seaport Global Securities LLC: Good morning, guys.
Martin H. Richenhagen - AGCO Corp.: Good morning, Mike.
Michael David Shlisky - Seaport Global Securities LLC: Hey, I wanted to ask about Brazil first. The challenges that you're looking at possibly in Q4, I doubt you want go into too much on 2018. But are the Q4 challenges just temporary in a single quarter, or could there be some bleeding into 2018? I keep hearing about some erosion of margin forecast for soybeans in the area. So any kind of color you can provide on the duration of the weakness in Brazil would be appreciated.
Greg Peterson - AGCO Corp.: So, Mike, as you know, we came through a very weak period at the end of last year, and the market strengthened through the first part of this year. We saw really a benefit from stabilizing macro economy. We saw the benefit of a favorable exchange rate for the farmers. And then as we've gone through the year, we've caught up to some tougher comps and we've also come back into a period of more economic uncertainty. And then also with some pullback in commodity prices, the margins the farmers were feeling haven't been quite as good. So we've seen now more of a stabilization in demand. So at this point looking forward, we don't expect to see major growth or major pullbacks in that market. We're looking for stable conditions to continue as we look into the fourth quarter.
Michael David Shlisky - Seaport Global Securities LLC: Okay, got it. And then thinking more broadly, globally here, could you give me any sense as to what some of the early order programs are or order books are by region for the year – sorry, for the first part of 2018 delivery? And is there any sense that you might be outperforming in certain parts of the world like with the Challenger 1000 here in the U.S.?
Andrew H. Beck - AGCO Corp.: Sure. In terms of orders, as we said, our orders are relatively flat North America and South America and are healthily up in our European segment. So overall, we're feel pretty good about our order situation. In terms of – most of those order boards are still really covering the fourth quarter demand and not extending much into 2018 yet. I will say in North America, we do have some seasonal products that we're already getting orders for 2018, and those are doing quite well in terms of getting orders there. So everything is in line with our expectations so far.
Michael David Shlisky - Seaport Global Securities LLC: Okay. If I could just squeeze in a third one here. I did hear one of your competitors mention the kind of weak hay and forage market right now. Is that what you think you're seeing right now at the new acquisition with Lely and should we be concerned that the accretion from that deal might not be quite what you were initially thinking now that you've officially closed the deal?
Martin H. Richenhagen - AGCO Corp.: We don't see that at all because this business has done very well in Europe, so milk prices stabilized. Butter is almost twice as expensive as it has been two years ago. So I think the dairy business in Europe recovered.
Greg Peterson - AGCO Corp.: Thanks, Mike.
Michael David Shlisky - Seaport Global Securities LLC: Super. Thank you so much.
Operator: Our next question comes from the line of Nicole DeBlase from Deutsche Bank. Your line is open.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Thanks. Good morning, guys.
Martin H. Richenhagen - AGCO Corp.: Good morning, Nicole.
Andrew H. Beck - AGCO Corp.: Good morning.
Nicole DeBlase - Deutsche Bank Securities, Inc.: So my first question is just a little bit more detail around Europe. I know you guys have talked about order activity being up in the double-digit range for the past two quarters which, I think, was a bit surprising to a lot of people. So I'm curious if the magnitude of strength is similar to what you had seen in the first half of the year.
Martin H. Richenhagen - AGCO Corp.: Yes, it is.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay. Thanks. And then on Brazil, so totally understand the caution around 4Q. I guess when you think about like the medium-term prospects for the region, is there any change at all in the passive recovery for Brazil? Is that at risk or is this just basically an issue of tough comps and maybe a temporary weakness in farmer profitability?
Martin H. Richenhagen - AGCO Corp.: I see it more as a temporary slowdown because all fundamentals still look pretty good. Plus, there's a certain need for replacement in Brazil, so I'm not that pessimistic but we don't talk about next year yet. We're just in the process of putting our plan together.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay, understood. Thanks, Martin. And since those were pretty quick, I'll just sneak one more in if that's okay. So you talked about more inventory progress in North America, based on where you are today and what you're thinking about for production in the fourth quarter, do you think that you can produce in line with retail demand in 2018?
Martin H. Richenhagen - AGCO Corp.: Yes.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Okay.
Andrew H. Beck - AGCO Corp.: Yeah. Nicole, fourth quarter is a big retail quarter for us. So what we'll be doing is obviously working hard to achieve our targets here at the end of the year. And we'll take a look at that end of the year, I assume. As Martin said, I think in a lot of cases we're going to be in good shape, but we'll check that again at the end of the year.
Nicole DeBlase - Deutsche Bank Securities, Inc.: Thanks. I'll pass it on.
Greg Peterson - AGCO Corp.: Thanks. And, operator, let's limit the questions to one question and one follow-up. Thank you.
Operator: Of course. And your next question comes from the line of Larry De Maria from William Blair. Your line is open.
Lawrence De Maria - William Blair & Co. LLC: Hi, thanks. Good morning. A question, engineering expense up a bit more than expected for the year. I don't know if there is anything specific to call out there like maybe the new combines. And should that kind of peak out now and start to dribble down now that we're going through that combine launch? Is there anything around the engineering expense you can call out for us?
Martin H. Richenhagen - AGCO Corp.: No, I think it's a pretty normal level and you should not expect the numbers going down. So that means we think that we should maybe invest about 3% to 4% of revenues in engineering, and that's what we are doing.
Lawrence De Maria - William Blair & Co. LLC: Okay.
Andrew H. Beck - AGCO Corp.: Yeah, Larry, some of that increase is reflective of currency and the new acquisition. So about $5 million of that relates to that.
Operator: And our next question comes from the line of Andy Casey from Wells Fargo. Your line is open.
Unknown Speaker: Hi. This is George Pika (24:12) on for Andy. Thank you very much and good quarter. A quick question with regard to the slower production rate in Q4, it looks like from the previous deck, it seems like you're implying a lower production rate going into the end of the year. Am I reading that right?
Andrew H. Beck - AGCO Corp.: Well, we have made a few adjustments to production levels, mainly in South America, but also increase in production in Europe. So overall, our production for the full year really hasn't changed; a little bit of changes here and there.
Martin H. Richenhagen - AGCO Corp.: Very normal adjustments we do on that.
Andrew H. Beck - AGCO Corp.: But nothing too big of a change.
Operator: And our next question comes from the line of Jamie Cook from Credit Suisse. Your line is open.
Unknown Speaker: Hi. This is actually Femis (25:12) on for Jamie. Just a question on pricing. Maybe could you talk through pricing dynamics by regions, and also address how your assumptions on material costs have changed relative to prior guidance? Thank you.
Andrew H. Beck - AGCO Corp.: Sure. Our overall pricing assumptions, again, haven't changed. They're about 1.5%. I don't think there is anything that's changed from quarter to quarter there. Still pricing, I would say is overall challenging to get. The markets are still on the weak side of normal. And in those cases, it's fairly challenging to get. We did increase some pricing in Europe during the year to offset some increases in steel prices, and so that's been in place. And in South America, we continue to try to put pricing in to offset inflationary pressures from exchange rates as well as from just general inflationary costs. In terms of our material cost, as everyone knows, we're being challenged by increasing steel prices and other hard commodity prices, but we're managing those quite well. I would say there hasn't been a lot of change there either in terms of what our forecast is for the balance of the year. And we look for our net pricing, which is 1.5% less the material cost inflation, to be in the 70 to 80 basis point positive for the full year.
Operator: Our next question comes from the line of Michael Feniger from Bank of America. Your line is open.
Michael Feniger - Bank of America Merrill Lynch: Hey, guys. Thanks for taking my question. Just on South America, the margin has been under pressure this year for a few reasons. I know you're not guiding for 2018, but I was hoping you could talk about the puts and takes of the margin next year with regards to pricing, material cost, and what you're seeing with the Tier 3 transition.
Martin H. Richenhagen - AGCO Corp.: We do not talk about 2018, sorry.
Michael Feniger - Bank of America Merrill Lynch: Okay. And then just on Europe, you're mentioning double-digit order growth. You're seeing strong sales. I was just hoping you could give us some color about how that is by region, how we should square that away with some weak registration data via the last month or two. Thanks.
Greg Peterson - AGCO Corp.: Yes, Mike. Some of the weakness that we've seen over the third quarter and especially in September was due to inflated numbers last year around the registration requirements for the interim Tier 4 emissions that went through. And so if you back those out, I think we're much closer to getting really close to the flat that we're saying for the full year. We've seen the UK be stronger through the first part of the year, and orders there have slowed down. Orders in France have actually picked up some over the last few months, and orders in the other big market in Germany have been slightly softer. So it's been a mixed bag. But I think we're trending towards that flat forecast that we have for the full year.
Michael Feniger - Bank of America Merrill Lynch: Great. Thanks, guys.
Operator: Again, sorry? And our last question comes from the line of Ann Duignan from JPMorgan. Your line is open.
Thomas Simonitsch - JPMorgan Securities LLC: Good morning, this is Tom Simonitsch on behalf of Ann. You seem pretty optimistic about the European dairy sector. Could you expand on that for us a little bit?
Martin H. Richenhagen - AGCO Corp.: With the exception of Ireland, of course. No, the prices are more stable than they have been, and so therefore I think we see signs of recovery in that sector. So that's the only thing I can share with you.
Thomas Simonitsch - JPMorgan Securities LLC: Okay. And also perhaps you could expand on the impact of your two most recent acquisitions on 2017 guidance. And also, if you could, update us on Kepler Weber and the likelihood of that deal closing.
Andrew H. Beck - AGCO Corp.: Sure. In terms of the two acquisitions, Precision Planting and Lely, we will have those in our fourth quarter results. Timing-wise, it's not fortuitous in that we are acquiring them during a seasonally slow period for both businesses. So it will be somewhat dilutive for us here in the fourth quarter and be one of the things that we'll have to offset in order to maintain our full-year targets. But those will turn around in the first part of next year because those are when the seasonal seasons – best seasons for those products are, in the first half of the year. In terms of Kepler Weber, we have not initiated the tender offer yet. We're still monitoring the situation with the company's performance and haven't made any decisions about moving forward at this time.
Martin H. Richenhagen - AGCO Corp.: And they underperformed, so let's say they're not doing very well right now.
Greg Peterson - AGCO Corp.: And then lastly, Tom, the last thing we wanted to say about our fourth quarter was just in terms of the tax rate. If you noticed, we didn't change our full-year effective tax rate, and it was a little lower than we anticipated in the third quarter, and it will be a little higher than we had previously planned in the fourth quarter. So net-net, we didn't make any change, and so we just want to make sure everybody is aware of that and has taken note of that.
Thomas Simonitsch - JPMorgan Securities LLC: Thank you.
Greg Peterson - AGCO Corp.: Operator, do we have any more questions in the queue?
Operator: Yes, we do. And our next question comes from the line of Steven Fisher from UBS. Your line is open.
Cleveland Rueckert - UBS Securities LLC: Hi, thanks for taking the question. This is actually Cleve Rueckert on for Steve. Just some quick ones. Can you give us an update on where your market share is trending and maybe what your market share expectations are for Q4, just in kind of the global regions? And then my other question is can you update us on the ramp-up of production in China? I don't think you commented on that yet.
Andrew H. Beck - AGCO Corp.: Sure. In terms of market shares, we're performing well really in all of our markets, so our market shares are improving. You can see that in our sales results and that our organic sales increases are above what is happening within the industries. So we're very positive about how we're performing. Some of our new products that we've introduced, whether it's the Global Series which is out of our new China facility or some of our large tractor offerings, are both producing good feedback from our customers and good order coverage and good sales activity. So we're very positive how globally we're performing on a sales basis. In terms of the China facility, we continue to advance the production levels there and the number of models and product within the product range that we're producing there. And as you can tell in our Asia/Pacific/Africa segment, the margins are improving and that's because of the improvement in the production that we continue to see out of that facility. So that facility is performing quite well and, again, the products are being very well received in the market
Cleveland Rueckert - UBS Securities LLC: Thanks, guys.
Operator: Our last question comes from the line of Jerry Revich from Goldman Sachs. Your line is open.
Corinne Jenkins - Goldman Sachs & Co. LLC: Hi. This is Corinne Jenkins on for Jerry. So I was hoping – you've touched on dealer inventory in North America on a month of supply basis. I was hoping you could give us a little color on what that is on an absolute basis and then also how that compares in Europe?
Andrew H. Beck - AGCO Corp.: Sure. In terms of dealer inventory levels versus a year ago, our dealer inventory is about 15%, a little over 15% better. We're targeting somewhere between 10% to almost 15% for the full year, and so we're progressing quite well there. And hopefully we'll hit our targets at the end of the year. Dealer inventory in South America is down versus the year ago, and that's a little bit better than what we've seen across most of the industry. So that's being managed well. And then lastly in Europe, our dealer inventory is a little higher at this point, but I think it's in anticipation of some recovery in the market as we've already described, particularly in France.
Corinne Jenkins - Goldman Sachs & Co. LLC: Great, thank you.
Operator: And there are no further questions at this time. I will turn the call back over to Mr. Peterson.
Greg Peterson - AGCO Corp.: Thanks, Emily. I'd like just to encourage all of our listeners, if you have additional questions, to please follow up with us later. We'll be around here to take your questions. Thank you, and have a great Halloween.
Operator: This concludes today's conference call. You may now disconnect.